Operator: Good morning. My name is James and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Roblox Q1 2021 Earnings Q&A Session. All lines have been placed on mute to prevent any background noise and after the speakers remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'm now going to hand it over to Anna Yen, Roblox, Head of Investor Relations. Anna, you may begin your conference.
Anna Yen: Thanks, James. Good morning everyone and thank you for joining our Q&A session to discuss Roblox's first quarter 2021 results. With me today is Roblox's CEO, David Baszucki and CFO, Michael Guthrie. Before we start, I want to remind everybody that yesterday, after market close, we published a shareholder letter and earnings results on our Investor Relations website at ir.roblox.com. Since the letter provides a lot of details, we will make some brief opening remarks and reserve the rest of the time for your questions. For our webcast participants, please note the question icon at the bottom of your screen, where you can type in your questions. We'll do our best to take as many questions as we can today. On today's call, we may be making forward-looking statements, including statements about our future growth rate, and business and investment strategy. Any statements that refer to expectations, projections or other characterization of future events including financial projections, future market conditions or the impact of COVID-19 on our business and on the economy as a whole is our forward-looking statement based on assumptions today. Actual results may differ materially from those expressed in these forward-looking statements and we make no obligations to update our disclosures. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release we issued yesterday as well as risks described in our Registration Statement on Form S-1, particularly the section titled Risk Factors. This information can also be found on other filings with the SEC when available. We will also discuss certain non-GAAP financial measures. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in our press release issued yesterday as well as in our supplemental materials, copies of which can be found on our IR website. Finally, this call is being webcast and will be archived on our website shortly after. With that, I'm going to turn the call over to David.
David Baszucki: Thanks, Anna. And thanks for everyone for joining us today. Before we start taking questions, I want to begin by saying that our hearts go out to the people around the world who are still suffering as a result of the COVID-19. It appears, we're making progress and it's also clear that this virus is still a global challenge. Like everyone, we want to put these risks behind us as soon as possible. Just this month, at Roblox, we're going to begin to open our offices on a limited basis and we hope that by mid-September, our offices can be fully opened. This is our first earnings call, since our direct listing on March 10. Yesterday afternoon, we posted our earnings results and a letter to all shareholders as well as supplemental financial and metrics data on our Investor Relations website. We hope this information was helpful insight into our performance in Q1. It's been an exciting period, and we're looking forward to answering your questions. With that, we'll turn it back over to the operator.
Operator: [Operator Instructions] And our first question comes from the line of Alexia Quadrani from JP Morgan. Go ahead, please. Your line is open.
Alexia Quadrani: Thank you very much. I was wondering if you could give us your update or thoughts on sort of longer-term growth, specifically in the press release you did highlight great accomplishments in terms of international expansion ageing up, which I know has been a more near term and consistent growth driver for you. So when you look longer-term, like what expansion such as music, you know advertising, any kind of other sort of partnerships. What other sort of extensions do you see as more achievable sort of in the intermediate term? Thank you.
Michael Guthrie: Yes, thanks for your question. Let me just start by saying in the near term and in the longer term, we still see incredible opportunity in the core growth drivers, which is to continue to expand the business geographically and to grow the user base in terms of the age demographic. So we feel like we're, nowhere close to being done on those two growth factors and that is still our short-term goals press and substantial long-term goals for us to continue to expand. When we look at geographic expansion, in particular in Asia, we have a long way to go, all across Europe and we're still very optimistic about the potential for increased growth in North America and in some of our core markets, like the United Kingdom and in Scandinavia. So we still see, if we were to say, sticking to our knitting on user growth aging out and geographic, those are still really big growth drivers for us over the next few years. In terms of platform extensions, we still are, we're obviously very excited about where the platform can go. We haven't given any specific numbers around brand partnerships or music, but you've obviously seen some progress, we talked about in the shareholder letter and we certainly see longer term potential for those expenses to our platform as well.
David Baszucki: I think, just listening off Mike, this is Dave. In Q1, or over 13 DAUs grew by 111% and our hours are up 128%.
Alexia Quadrani: Thank you.
Operator: Our next question comes from the line of Brian Nowak with Morgan Stanley. Go ahead, please. Your line is open.
Brian Nowak: Thanks for taking my question. I have two, the first one on China, just curious, I know it's very early, but any sort of early learnings from China and just sort of as we sort of think about this opportunity. Are there any material differences that you see in the China potential user base that could cause the slope of penetration or payer growth to be different than other regions? And then secondly on aging up. David, it was good disclosure on the age up, you just mentioned, users and time spent. Can you just give us some examples of some of the content that's really driving the aging of the overall user base to sort of really realize that opportunity? Thanks.
David Baszucki: Yes, a couple of things just to share. First, in China, we do have a license. We are live and we've seen very early signs of what do you hope to happen, which is, we've seen some developers in China breaking the past [indiscernible] in the world market. And many, many world outside of China does are now live in China. The other think you know we've seen consistent growth in South Korea, in Hong Kong, in Russia, in Brazil and really in all around the world. So we can't make any forward-looking predictions on China but we see a lot of love we've have is out there. As far as aging up, we continue to impress by the quality of the content and the creation that our developers are making and more and more of the content is helping drive this exciting trend, which we're close to passing. It's not passing. Mike can chime in. I, having more of our users being 13 and over then under 13. I'll highlight the fun and exciting and iconic game KBD [ph], which what our - which is extremely appealing to players on our platform of all ages.
Brian Nowak: Thank you.
Operator: Our next question comes from the line of Mike Ng with Goldman Sachs. Go ahead, please. Your line is open.
Mike Ng: Hi, good morning. Thank you very much for the question. I just have two. First, could you talk a little bit more about the investments in personnel of R&D made this quarter, specifically which areas of the product road map are you investing for now? And how should we think about Roblox's investments in R&D for the rest of this year and over the mid-term? And then second, I was just wondering if you could talk a little bit about the April bookings that you guys disclosed. Is that a good way to think about the rest of the second quarter and how are you thinking about engagement of bookings cadence through the rest of the year? Thank you.
David Baszucki: Mike and I will both answer this. I'll talk of the high level about where we're investing in R&D, then I'll kick it over to Mike for the numbers and then for April. This is an exciting thing about our platform is the breadth of technology, that supports what we're doing and we go all the way from a mobile client to 3D immersive cloud engine to developer tool-kit to back-end infra. It's an extremely broad surface area and part of our Roblox philosophy in the way we think about the company is, we need to be innovating in many, many areas is what has brought us to where we are today and what we're doing right now behind the scene is doing that again for five years out. So some of the things we've highlighted in prior calls publicly, safety and feasibility, not just being defensive but really leading the industry and creating a civil society in our platform on that all the tech behind that. And now AI including our Human Austin team of over 2000 moderators getting into the future of communication, which includes safe and civil, not just text but voice and no ship dates there but lots of great work to come there. Our advertisements, which we've had some early announcements on some of the tech. It's really an early signal go for an advertising identities [ph]. Everyone who they want to be, whether it's the fashion model or soldier, traditional Roblox's character, coaching character. We have this wonderful mix of our clients and our infra working together to really provide these immersive experience and a lot of work going on there. So covering the place where we're investing, it's really, we do invest 80% of our, probably invest, we are staying true to the notion that about 80% of our people are working on product and engineering. We see this going into the foreseeable future. I've touched on about four times the areas, I am not going to go into all of them right now. I will take it over to Mike go-to-go more into the numbers.
Michael Guthrie: Sure. Hey, Mike. So, couple of things, when we did forecasting work inside the company for direct listing. Basically underlying assumptions were, we looked at all our core metrics. We obviously we're looking at it, at a time when there was sort of right in the middle of COVID and we've seen pretty big risks in our business and we made some assumptions around COVID, basically as a global situation being out of the system by the end of the second quarter. So in fact, we picked an end date so the pandemic, if you will, when we did our forecasting. Now, that hasn't happened and so there is obviously still in the second quarter. There is a combination of just core metrics and core growth and improvement in the business and so, obviously the influences of COVID are still in the numbers as well. April bookings overall, were very strong. Definitely higher than what we expected and somewhere around, I don't know, 45% to 47% of the consensus numbers for the quarter. So, April numbers were really strong. When we look at, put in the medium and longer term, I just say the following, when the pandemic started, we immediately saw engagement go out, right. We had a substantial user base of the time when we really had more time, more time on the platform and then we grew users very quickly and those user have the ability to engage very quickly as well. Because of that we started to see really strong conversion-to-payers and really strong monetization and that's obviously reflected in the step-up in bookings that we see over the last several quarters. If you look at April, what you will see is bookings looks to be the highest growth of all of the numbers. Partly that's because bookings took a while to get going, vis-à-vis users and engagement last year and partly, I think it's because we just have, when you get down to that, those are the most clearly, the most engaged users are the ones that end up becoming payers and so we're just seeing really high conversion and monetization characteristics as we head into the rest of the year.
Mike Ng: Great. Thank you very much, Dave, Mike. Much appreciate it.
Michael Guthrie: Thanks, Mike.
David Baszucki: Thank you.
Operator: Our next question comes from the line of Drew Crum with Stifel. Go ahead, please. Your line is open.
Drew Crum: Okay. Thanks. Good morning, guys. Given your experience around improving payer conversion outside of the US and Canada during 1Q, can you discuss any early observations around? What is work thus far and as economies re-open, how you are thinking about monetization overseas progressing as we move through 2021? And then secondly, the developer exchange be average about 18% of bookings in the last several quarters and your comment in the shareholder letter around returning nearly $500 million to the developer community this year, just based on 1Q the math would suggest about $2.7 billion of bookings this year. Does that make sense or how would you push back on that assumption? Thanks guys.
David Baszucki: We'll do this in the same quarter. I'll speak a bit about the stickiness of our time in and I'll take it back to Mike on the DevEx fees. We developed our DevEx economy over five years ago and when we did it, the philosophy was to create a system that connects our people, our platform with our developers and allows flexibility in our developers to create amazing content and then to monetize that and balance in premium way with our player base for the people on our platform. We, this system has turned out to be enormously powerful and as different countries have come online, whether that's the US and Canada, or whether it's Philippines, Brazil and Russia, in all of these companies over time, we've seen the combination of amazing content and the players becoming more embedded in our platform and driving higher and higher bookings per DAU. So there are no big markets that we have been turning except to provide programming tools where developers are making it increasingly high-quality content, and that's been driving the engine. We have made some small adjustments over time and we continue to move as much money as we think is financially prudent that to the developer community. An example, in March, where we increased the engagement-based payout rate by approximately 75%, which is driving the money we're transferring to developers based on timing the new platform. So no future predictions on where Roblox is going, but this general philosophy is we want to run green business, as much as money to our development as possible. I think we'll just do that going forward and now over to Mike for the rest.
Michael Guthrie: Yes, one on the outputs of the engagement base payout model has been to get some economics to developers that are maybe not in the top 100, 200 series and framework. We're seeing out in that. I don't know, I going to call a long tail that we're seeing, developers are seeing early in the monetizing the platform. This is a real boost to their economics and in some cases virtually all in all, that you can simplification-based payout and that's great because it keeps them engaged in the platform and as they get better and better building amazing content that is appealing to a broader user base, but you get some feedback and economic feedback from the market, which is really wonderful. So we have high expectations of the productivity game-based payout over the next few years. Related to your question on development expense. I think what we're really looking at is the Q1 number was almost $120 million, if you multiply $121 million times, $280 million. When you're in a company, we often have these big goals and I can remember, we did an upside, about two years ago where we really challenged ourselves to get you have $400 million of engagement-based payout, actually several years from now. And now we're in a situation, now where it seems like the right way, it could be a $0.5 billion dollars this year. So I'd say rather than giving ourselves a goal of $480 million, we like to go with $0.5 billion.
David Baszucki: Yes, I just roofing on that with Mike that goal at the outside was for total of the money through developers. We do believe long term engagement-based payouts will hit that $400 million, their piece of the total development.
Operator: Our next question comes from the line of Ryan Gee with Bank of America. Go ahead, please. Your line is open.
Ryan Gee: Yes. Hey. Good morning everyone. Thanks for taking the questions. Just in terms of identity, so advanced training related to clothing animations, I think you've heard some of the things you that we're pretty excited about around the directly in. Can you talk a little bit about what new technologies such as, those I mentioned, what that enables for the platform for the users and for the developers and maybe how that ultimately flows through the model financially? And then second question. It's very encouraging to see the order in the international users, continue to grow nicely, pretty remarkable, the marketing, the loan around $50 million last year in 2020. So can you maybe talk about the level of investment? How that may change in 2021 going forward as you expand your brand awareness and those areas, the required digital - I mean required a dedicated sales team, or is it more traditional channels? Thank you.
David Baszucki: Avatar, Mike you do that part.
Michael Guthrie: The things we shift right now are very early tax components that ultimately form the foundation for our vision around the identity and Avatar. Our vision and we shared it publicly before is, we really believe to everyone on our platform will ultimately be who they want to be and who you want to be. Avatar is very important. It's whatever we can imagine. So our vision is everything from cartoon characters to classic Roblox blocky Avatars to ultimately AAA Avatars that we see around a wide range of immersive 3D experiences. What we're building internally is technologies that allows combinatorial [indiscernible] and exclusive system where any piece of clothing works on any Avatar and also where ultimately motion integrated with this system as well, including both caption and motion as well as you can see with our acquisition of Bloom AI, a vision for ultimately including your own version to drive the face of your avatar. So it's still early and this complements our vision that ultimately our whole Avatar system including clothing bodies, face, hair animation is 100% UGC supported by our creator community. You're going to see over the next year more and more developments along this and I personally believe it's going to really expand the vision of what Roblox is.
Michael Guthrie: Hi, Ryan. On the economic size, that too when - the perspective that we did Investor Day, we talked a lot about the characteristics of universe and we are getting out of the importance of identity and Dave gave you some of the technical investments. It's a really good example of how investments in the platform and the power of the community come together is what we see is a spending identity, right now. It's happening with avatars so three and half years ago our split between Roblox inexperience versus on investments in Catalog and investments in the identity. So the 820 with the experience we're getting 80%,20% in the Catalogue. Since then we made the Catalog user generated and made all these investments in the platform, the technical and investments in the platform and we've seen it slowing from 80%, 20% to actually not fully to 75%, 25% and in the past quarter, it's actually about 70%, 30%. So we see users are choosing to spend more of their Roblox on their identity and still spending, or they are still growing their spend and experience, but it's clearly important to them if it on the Roblox platform to invest in their identity and if we make more investments in technology and product, what is possible, it's just going to increase. So I think we're going to see continued strong investment in the identity on the platform. As it relates to marketing spend, you know we've always proudly focused on building great products and believing that there is on the product market fit and if you go back to the underline economic model, we generally talk about four areas of investment. There is for the big cost buckets, there is there is end processing, which we've talked about. There is personnel, which is 80% engineering and product people. There is the money we share with the developers in the community. And then as trust and safety and infrastructure and then everything else we're just really, really careful about spending and that model is really efficient for us over the years. It's been a really great new economics and we've, I guess in a situation where we haven't had to spend a lot of money to drive user growth. That organic signals is one that tells us that the product is doing well. And so I don't think you should expect to see us change that over the next few years.
Operator: Our next question comes from the line of Matthew Thornton with Truist Securities. Go ahead, please. Your line is open
Matthew Thornton: Hey, good morning. David and Mike. Couple of quick ones from me. I guess is there any way to talk about or quantify or give us any color on kind of what the pipeline looks like for branded experiences, for music experiences in a year maybe now versus where we were, I don't know six or twelve months ago. Any color there? And then, just secondly around subscription, I guess the question is, are we still kind of moving up into the right in terms of mix and anyway to gauge maybe what inning we're in terms of getting subscription. So I guess kind of hold, kind of trade, kind of run rate. Any color would be helpful as well. Thanks guys.
David Baszucki: Yes. First on the pipeline around immersive experiences. We can't announce anything but historically, if one looks at what we've done starting with Lil NAS X, going to Ava Max, going to One World Together, going through Royal blood at the Bloxys. There has been enormous progress there and we're very optimistic that in the future being together in immersive 3D concert with friends is different than watching on a screen. And as we come back together following the pandemic, I think we've all learned how amazing these types of experiences can be. So we're very optimistic about this. We're not going to announce anything but more and more technology, those the invasiveness, the ability for IO to be station, ability to top one again in is going to support more and more amazing experiences. I'll talk a little about subscriptions and I'll take it over to Mike, on the numbers. It's also, we have a vision that ultimately and once again those ship dates, the types of experiences in the measures are going to be supported by engagement, they're going to be supported by transactions and they're going to be supported by advertising. And when we look at some of the types of experiences that we can imagine on the platform, there will be some of the experiences that are more and more subscriptions supported, just like many of our experiences, our premium right now. So there is a range of functionality that we will be rolling out over the next few years to support those types of experiences and it's very, very early in where we see subscription lying. That said, our current people who have Roblox premium retain amazingly well. It's a wonderful source of virtual currency for Roblox and even subscription that we have them right now are wonderful, really ways for people to buy Roblox and to retain.
Michael Guthrie: Hey Matt. On your questions with pipeline of brands and uses and the answer, we are not going to be able to share specifics around pipeline. We made some comments in the shareholder letter on both brands and music, and I would expect to have in most quarters over the next several. We will be making some references to things that we're doing. If you were to ask [indiscernible] and his team, my guess is the pipeline of brand, there are more and more brands are interested in the platform of our size and scale. That's a way to reach a user base that's large and growing and very engaged. So there is no doubt the brands are quite interesting. We gave two examples, three examples, in the shareholder letter, I think one of the things that I like the most about it is that the brands are working with our community to build their experiences. So that's just a really great way, another way for our developers to build cool stuff and see some economics, and so that's just great. Your question about subscription. The only thing I would add two comment on subscription is that if you're looking at the sources of Roblox purchases, the rate of growth in subscription is faster than the rate of growth of [indiscernible]. Both are still very important to us.
Operator: [Operator Instructions] Our next question comes from the line of Brandon Ross with LightShed Partners. Go ahead, please. Your line is open.
Brandon Ross: Hi. Thanks for taking the questions. Maybe just a follow-up on the brand's question that you just had prior. Can you talk about two things, one, the role that robustly, specifically playing in shepherding these brands and media companies onto the platform and as brands do come on, is that a discrete revenue opportunity for you and how do you think about sizing the overall advertising opportunity on the platform? And then I have a follow-up.
Michael Guthrie: Sure, well on, we talked about the brand. We do have a dedicated team under credit organization that is responsible for brand partnerships and that is those quite honestly, inbound but also proactive calling and coverage of businesses in retail, media, entertainment et-cetera. They do a great job, again as a platform that will be attractive to advertisers, I think we have certain characteristics that are very interesting. Ultimately, the way we do advertising will be largely different than I think anybody else, we expect it to be different, a CPM kind of a business. So there is a dedicated team. They are active in the market talking to brands about our platform and what it means, our user community, our level of engagement. This is a user base, it's hard to reach, especially in the digital world and when you're - it is not the right way to reach this audience as well or is it not a growing way to reach its audience. So ultimately, we're really optimistic, but it's still really early and so when you ask about sizing the market, I mean there is a lot of other companies are pure advertising model you probably used to build the model but for now, I just wouldn't be putting a lot of revenue in the business - in our business plan. We're optimistic about where to go but right now we're, it's not as though, there is a certain deliverables for that team for 2021.
David Baszucki: And I just riff on Mike at this. Looking more forward without giving anything specific from a vision point of view, an exciting thing about brands connecting with people in immersive platforms like Roblox, is it's a non-interrupt model. It's a native immersive experience where right now people on our platform, in Eugene products, were right now without stopping or without being interrupted, our players have team branding from, for example, Scooby Doo [ph] movies. So there is a whole different way of advertising, reaching consumers without interrupting and with experiences that feel natural. Ultimately, my hope is the size of the opportunity is related to the total hours of immersion we provide. And in April that was over $3.2 billion hours. So that is one way to think about what this might be.
Brandon Ross: Okay. And then, just a follow-up on DevEx. We talked about the 75% increase in engagement-based payouts and presumably that to help like the real UGC creators that are the core Roblox. But there is also been a professionalization of studio being built on your platform, it's being backed by a lot of venture money that's come in over the past year. And does that put any pressure on you to also change the Roblox exchange rates, especially there is actually pressure on those studio to dollar return and pay employees in dollars and not Roblox. And then also on DevEx, to what extent do you see competition playing in your payout to creators on the platform?
David Baszucki: Yes, great question. Over the last four to five years, every year, as we track what development number, one developer, ten developers, a hundred developers, thousand make. We've seen all of these categories continue to grow and the total amount of money now going to each of those categories just continue to grow and I believe will keep growing. So the developers coming to our platform looking for can I support or can we support a studio. And our largest studios now are in individual hobbyist. They haven't seen the 10, 20, 30, 40 professional debts and that's part of why we're seeing all of this money flow into the platform. All of this developers and creators earn Roblox are UGC creators, whether it's developer number one or developer number 1000 in the pipeline. And so there is a complementary system where even way down that develop their number 10,000 as Mike mentioned earlier, there is an organic effect when that shift shows a surprisingly because that experience, that is really experimental. We believe there is an interaction with that developer where it's motivational to create content on our platform and it contributes to the funnel of the developer there rising the ranks to thousands, 251 and ultimately number one. And so even our top developers participated in engagement-based payout. The other thing is to note, we never would announce a future increase in our DevEx. That said, historically, we have done it several times over the years as our P&L and balance sheet makes it prudent. So our top line philosophy is to move as much money into the hands of these developers as possible.
Michael Guthrie: Hey, Brandon. Remember also when we look at the value proposition for developers on our platform, it's a little bit different than in other places, we use our tools, our servers, cost of operation, safety, customer support, billing, collection and obviously a large audience. That's really what you get when you come on the Roblox platform. To your comment and correct insight that you do pay developers in dollars. In 2018, the developer community made $72 million. In 2021, as we said, we have a goal, we hope that we can get $0.5 billion. So the growth in $72 million to potentially $500 million is a lot of incremental dollars. And so we're trying to build the biggest pool of capital that can support the biggest audience of engage and excited developers as we possibly can. And in terms of just the multiples of the dollars available on the growth rate of those, I think that Roblox is tough to beat.
Brandon Ross: Great. Thanks very much.
Michael Guthrie: Thanks, Bran.
Operator: Our next question comes from the line of Matthew Thornton with Truist Securities. Go ahead, please. Your line is open.
Matthew Thornton: Yes, thanks guys. Couple of quick ones for me. Early, you talked about the mix shift towards virtual items for identity and the Avatar. Correct me if I'm wrong, but I think the payout economics there, a little bit lower. So, that seems like that would be accretive to margin all those contracts we make sure that we have that right and then just secondly, I was wondering if there is any movement, anything you could say about, you're getting Roblox onto PlayStation switched some of these other the platform. Just any movement on those, on those fronts? Thanks again, guys.
Michael Guthrie: Yes, I'll take the Matthew's question, then I'll turn off to David. You are correct in that, the ratios are different. On the other hand, given the size and scale of the business in the investments that we're making, I would just caution everyone against looking at margin leverage, immediately happening or in the next few quarters. We obviously to get the unit economics of the business are quite positive and we're happy with the cash flow that the business is generating. On the other hand, we see our role right now as investors in this business are not as optimizes in the margin and I don't mean in the majority sense, we have such a big opportunity. We are so far from the user base and the scale we want this business to be. We have so many things we want to invest in product and technology that will enable more and more developers to build incredible content and bring that's a broader set of users that we still much more focused on those investments. Again, hiring more people. It's great to be have over 1,000 employees and it's amazing how we've grown our employee base over the last few years. But the investment of the business, I think you're talking about $1 billion of users, will take us thousands and thousands of employees. So we had a long way to go in terms of investment in growing the headcount in the business. And as we've been talking about the economics for the developer community, if we keep our eyes focused on that. I think generally, that will just same time dividends because will ultimately drive greater growth in the top part of the business.
David Baszucki: And then listening on devices. There is a wonderful historical context to this, I guess, all the way back, there is a life were prior to that acute dimensional html content was not consumable on mobile devices and all of a sudden with the - what you can see on your desktop was the same as what we can see on the phone and was pivotal. We've the same vision for the immersive 3D multiplayer cluster of the Medivir's and we believe this should be accessible on all devices both from giving as well as interaction. And we really innovated around on this, on phone, tablet, computer and Xbox console, showing that developers can create content that when pushed to our cloud runs on all of these devices as well as auto translates into multiple languages. So absolutely long-term switch PlayStation Quest, all of these platforms make perfect sense for Roblox. What you've seeing right now and is an incredible focus on the phone by us, which we believe is an incredibly difficult form factor in the most difficult form factor for that immersion, but these are all logical platform and at the same time we won't share any ship dates for them.
Operator: Our next question comes from the line of David Gibson with Astra's Advisory. Go ahead, please. Your line is open.
David Gibson: Thank you. Just further on your April DAU trend comments, you said the growth was some 37%. Can you give us a sense of how that is different amongst the major regions like US, Canada, Europe, APAC, rest of the world? And then secondly thinking as you emerge from COVID. Have you seen different trends that our countries that don't have much COVID like Taiwan, Australia and others, that is different will give you an insight into how you think US and Europe will play out in the future? Thank you.
David Baszucki: Hi, David. Thanks for the question. If you go to the supplemental materials on the website, we break down users by region and by age. And so those regional numbers in Q1 and those trends that you've seen over the last few quarters, pretty much translate into the April numbers, I don't know, if it's absolutely exact but my strong expectation is when you look at it will be pretty similar meaning. The highest growth regions will be Asia-Pacific in Europe and slightly trailing in terms of growth in year-over-year growth in April will be the US and Canada.
David Gibson: Okay.
David Baszucki: Around the world, it's hard to get a great signal to find a country that is representative of the rest of the world where you saw a big COVID spike in 2020 and then you vaccinated or you have herd immunity or whatever it is. Analysis is now you don't have COVID, which is really difficult to get an absolutely clear signal. What we do see around the world is continued high rates of conversion. That's probably the one thing that seems characteristic of countries even as COVID isn't as big an issue as it was prior. But I wouldn't say we have a project signal. Right now, the US is 65% of the bookings, and so we're just still elevated in the United States. And so I, we don't get that much signal from other parts of the world. Haven't actually looked at Taiwan specifically, so maybe will go off and do that homework and see what that tells us.
David Gibson: Okay. And then, just generally, how should we think about the seasonality of May and June versus April? I mean I know it's like a pre-COVID world. We see the normally grow anyway or do they slowdown? How should we think about those?
David Baszucki: Yes, normal seasonality, David, is that April has Easter and so it's a little bit bigger than May. And then in June, your seasonality is better than May because basically schools out. And so we see normal seasonality, we see a big, a big jump in June versus May and we got to decline May versus April. We didn't have that seasonality last year, right. We were just growing straight through it. So we will be very interesting to us to see if we see some of that seasonality, I wouldn't be surprised if we do. Last year there was no way for seasonality to come through. This year, I would suspect that's what you'll see slight sequential decline in May, and then June probably picking up. That's the normal seasonality.
David Gibson: Okay, that's great. Thanks very much.
David Baszucki: Yes. No problem.
Operator: Now, I'd like to turn it over to Anna Yen for some webcast questions.
Anna Yen: Hi. All right. First one is from Ryan [ph]. How do you think about Roblox in potential and education? Have you considered creating educational programs for high school? Do you see this is an enormous opportunity?
David Baszucki: Great question, Ryan. And even when we started the company Roblox, we have the vision that the best way to help learning was to build a very high-quality consumer platform that was free for everyone with the notion that there is enormous educational opportunity. The educational opportunity on our platform is really a stack and it starts with maybe the more traditional expected learning to create, learning to code, learning to be a designer, learning to be an artist, learning to be a producer. We already see this manifest at both within schools, within summer camps and more and more we have a vision that learning computer science will be happening on top of emerge platform by Roblox. It is just so fun and it's so organic, and we have over $8 million creators right now on the platform, who are really learning all of this stuff because it's fun to create stuff and share it with friends. But going beyond this, we go to the next level where as we start to think about what went on in COVID, the ability at times is not be together on the platform. With certain educational opportunity that started to parallel books and video and we use the classic example when we're studying ancient room, in the future we'll read about it, we'll watch video about it but cautions will do the ancient rooms together and immerse in it and we think these will all be viable ways about learning and emphasizing and understanding. Way out in the future, we're very optimistic about people who don't have access to certain schooling or education either geographically or for other reason. Really using the measures to participate substantially in learning activities and so this such a bright future around supporting education on all of these level. We're starting to support external vendors as well as our own internal curriculum and we think there's a bright future there.
Anna Yen: Thanks, Dave. The next one is from Justin. Can you discuss any plans you have regarding video content integration in some live experiences and do you see video as a potential extension to attract new users and to further monetize the platform?
David Baszucki: Yes, great question. And for those of us that participated in the One World Together experience on Roblox. You got a little sense how we view video. We are creating and supporting immersive 3D experience. With our friends, we can go places together, we can go to a concert, we can play together, we can work together, we can go to school altogether. And just in the real world, when we go to concerts and there are videos stream, then there are performance live. Video is going to be very common in the [indiscernible]. So the primary to us right now of all of our work around video is mimicking the work, the real world and making that video available within the experiences. Why don't we can imagine a lot of other interesting video experiences on our platform as well with streaming things that typically happen right now on partners like YouTube or Twitch and there is a huge video ecosystem around Roblox with our influencers, it's just not on our platform right now. We don't have any future forward-looking statements around product in that area.
Anna Yen: And I think we got time for one more, one or two more. Roblox has shown impressive growth in our international market and what is driving that? Is it technology? Is it content? Or is it the flywheel? Can you comment on that?
David Baszucki: Great question. Yes, yes, yes. And what has driven our growth historically has been a dual loop and it's unique to this class of platforms is a loop around great content. The higher the quality of the content, the bigger the economy. The bigger the economy, the larger teams are able to make content mix it up and coming UGC creators. And better content, the more people come to the platform, but that content then serve as a foundation for a second viral loop, where the more my friends on the platform, the more exciting is your need to come to the platform and hang out play, work, learn experienced entertainment within that content. So it's yes to all of those. All of these work together in to viral loops to drive our growth.
Anna Yen: Right. I think we can wrap that up.
David Baszucki: Cool. Well, team, thank you all. Really appreciate it. And thank you for all of the great questions. I just want to thank everyone out there including members of the Roblox community for joining us today. And it's really exciting building this [ph] metaphors, we're really excited about what's ahead for us. And finally, reach out to the world, we are, really reach out for all of the countries that are working through COVID and we hope we're done with this as soon as possible. So, thank you for joining us on our first earnings call today.
Operator: This concludes today's conference call. You may now disconnect.